Operator: Thank you for standing by. My name is Rebecca, and I will be your conference operator today. At this time, I would like to welcome everyone to the LXP Industrial Trust Fourth Quarter 2025 Earnings Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, thank you. I would now like to turn the call over to Heather Gentry, Investor Relations. Please go ahead.
Heather Gentry: Thank you, operator. Welcome to LXP Industrial Trust Fourth Quarter 2025 Earnings Conference Call and Webcast. The earnings release was distributed this morning. Both the release and quarterly supplemental are available on our website at www.lxp.com in the Investors section and will be furnished to the SEC on a Form 8-K. Certain statements made during this conference call regarding future events and expected results may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. LXP Industrial Trust believes that these statements are based on reasonable assumptions. However, certain factors and risks, including those included in today's earnings press release, and those described in reports that LXP Industrial Trust files with the SEC from time to time, could cause LXP Industrial Trust’s actual results to differ materially from those expressed or implied by such statements. Except as required by law, LXP Industrial Trust does not undertake a duty to update any forward-looking statements. In the earnings press release and quarterly supplemental disclosure package, LXP Industrial Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure. Any references in these documents to adjusted company FFO refer to adjusted company funds from operations available to all equity holders and unitholders on a fully diluted basis. Operating performance measures of an individual investment are not intended to be viewed as presenting a numerical measure of LXP Industrial Trust’s historical or future financial performance, financial position, or cash flow. On today's call, T. Wilson Eglin, Chairman and CEO, and Nathan Brunner, CFO, will provide a recent business update and commentary on fourth quarter results. Brendan Mullinix, CIO, and James Dudley, Executive Vice President and Director of Asset Management, will be available for the Q&A portion of this call. I will now turn the call over to T. Wilson Eglin. Thank you.
T. Wilson Eglin: Thank you, Heather. Good morning, everyone. Our fourth quarter marked the conclusion of a successful year, driven by meaningful achievements in leasing, healthy occupancy gains, strategic property sales, and continued progress strengthening our balance sheet. We delivered on our key operating objectives in 2025, notably reducing leverage from 5.9 times to 4.9 times net debt to adjusted EBITDA and increasing occupancy 350 basis points to 97.1%. Additionally, we leased nearly 5,000,000 square feet in 2025 with attractive mark-to-market outcomes of approximately 28% on a cash basis, excluding fixed rate renewals. We were encouraged to see market fundamentals continue to improve during fourth quarter, with our target markets driving over 66% of the overall U.S. net absorption of about 54,000,000 square feet. Larger users made up the bulk of the demand, favoring facilities exceeding 500,000 square feet that built within the last five years. Several of our target markets, including Phoenix, Indianapolis, Dallas–Fort Worth, and Houston, led this demand. Reflective of an improving leasing market, in the fourth quarter, we leased over 2,000,000 square feet at attractive base and cash-based rental increases of approximately 27% and 23%, respectively, excluding fixed rate renewals. We have also made good progress on our 2026 expirations. To date, we have addressed roughly 3,000,000 square feet, or 41% of our total 2026 rollover, achieving an average cash rental increase of approximately 28%, excluding two fixed rate renewals. On the sales front, we exited five non-target markets in 2025 and continue to prioritize investing in our 12 target markets, which currently account for 87% of our gross book value. Total disposition volume for the year was $389,000,000, including $116,000,000 from non-target market sales in the fourth quarter, with an average cash capitalization rate of 5.7% on stabilized assets sold during 2025. This volume included the sale of our Indianapolis and Ocala development properties to a user buyer in September at an implied capitalization rate of approximately 5% and a 20% premium to our cost basis. The capital generated from asset sales was primarily deployed to strengthen our balance sheet by reducing high coupon debt. Additionally, we acquired one property for a 1031 exchange requirement in September and repurchased approximately 277,000 shares at an average price of $49.47 in December 2025 and January 2026. At year end, we held approximately $170,000,000 in cash on our balance sheet. While cash balances are currently weighing on earnings, we believe liquidity is valuable as we head into a period we can create significant value in our land bank. Strengthening our balance sheet was one of our primary objectives in 2025. We successfully accomplished this goal and entered 2026 in a strong financial position. Our capital allocation priorities will now primarily focus on disciplined investment and external growth opportunities, mainly in our land bank, and executing opportunistic share repurchases, provided they do not impact the balance sheet progress we made in 2025. Acquisition activity is expected to be limited to 1031 exchanges, which may happen from time to time as we exit non-target markets. Through our development program, we have developed 15 facilities since 2019 at a 7.1% weighted average stabilized yield on first-generation leases and generated sale proceeds of $91,000,000 in excess of our cost basis. At year end, our development program was 98% leased or sold. We have continued to closely monitor market fundamentals where we own development land, evaluating both build-to-suit and speculative development opportunities. In the West Valley of Phoenix, where we own a 315-acre land site, we have observed an acceleration in leasing activity for facilities over 1,000,000 square feet. Eighteen months ago, there were ten 1,000,000-square-foot buildings available in the West Valley. Since then, eight of these buildings have leased or sold to users, and the remaining two are in advanced stages of negotiations. Consequently, there will be no 1,000,000-square-foot facilities available in the West Valley, and nothing is currently under construction. In addition, construction costs are roughly $20 per square foot lower than they were at the market peak on a 1,000,000-square-foot spec project. With this favorable backdrop, we will be breaking ground on our Phoenix land site. Project completion is anticipated for 2027, with an estimated budget of $120,000,000 and a stabilized cash yield within a range of 7% to 7.5%. In summary, we successfully executed our core strategic initiatives in 2025, including enhancing our balance sheet, addressing vacancy at our three big box development properties, increasing portfolio occupancy, and achieving attractive leasing outcomes. In 2026, our priorities will center on strategic capital deployment, specifically pursuing disciplined growth opportunities, making opportunistic share repurchases, leasing our remaining vacancies, and generating robust mark-to-market outcomes. Our high-quality portfolio, consisting primarily of Class A assets in the Sun Belt and Lower Midwest, is well positioned to benefit from improving market fundamentals and the positive momentum associated with advanced manufacturing investments. I will now turn the call over to Nathan, who will provide a more detailed overview of our financials, leasing activities, and balance sheet. Thanks, Will.
Nathan Brunner: Adjusted company FFO in the fourth quarter was $0.79 per diluted common share, or approximately $47,000,000. For the full year, we produced adjusted company FFO of $3.15 per diluted common share, or $187,000,000. This morning, we announced our 2026 adjusted company FFO guidance range of $3.22 to $3.37 per common share, which represents 4.6% growth at the midpoint. This guidance assumes the proceeds from the properties sold in the fourth quarter will be redeployed into the development project in Phoenix, although these asset sales and capital redeployment are a drag to 2026 FFO, that will be a source of earnings growth in future years. Our guidance does not assume any other dispositions or investment activity. Our portfolio occupancy increased to 97.1% at year end, compared to 93.6% at year end 2024, primarily reflecting the successful outcomes for the three big box development properties in 2025. Turning to the same-store portfolio, full-year same-store NOI growth was 2.9% and flat in the fourth quarter when compared to the same time periods in 2024. Consistent with our commentary on our last earnings call, our fourth quarter same-store NOI growth reflects lower occupancy in the same-store portfolio of 97.3% as of year end 2025 versus 99.5% in 2024. We are estimating 2026 same-store NOI growth to be within a range of 1.5% to 2.5%. At the midpoint of 2%, the components of same-store growth include a positive contribution of 3.25% from contractual rental escalators and lease renewals, offset by a 1.25% impact associated with lower occupancy and higher rent concessions in the form of free rent. Our 2026 guidance range assumes average occupancy in the same-store pool of 96% to 97% versus average occupancy for this same pool of properties of just over 97% in 2025. The low end of our adjusted company FFO and same-store guidance assumes $500,000 of credit loss. G&A was approximately $11,000,000 in the quarter, with full-year 2025 G&A of $40,000,000 within our expected range. We expect 2026 G&A to be within a range of $39,000,000 to $41,000,000, broadly in line with 2025. Turning to leasing, our current mark-to-market on leases expiring through 2030 and second-generation vacancy is compelling, with in-place rents approximately 16% below market based on brokers’ estimates. As a reminder, this mark-to-market metric is inclusive of fixed rate renewals. With respect to 2025 expirations, during the fourth quarter, we secured a new ten-year lease with 3.5% annual rental bumps at our 380,000-square-foot facility in the Indianapolis market. The lease expired in July, but the previous tenant held over through the end of September. The new lease yielded a 34% increase in rent over the prior rent. The positive contribution of this new lease to same-store NOI growth will be recognized beginning in 2026, reflecting concessions associated with the ten-year lease term. At year end, the tenant at a 160,000-square-foot facility in Phoenix moved out. This is a modern building with highway frontage, and we expect the releasing of the building to produce a 40% to 50% rental increase. Moving on to 2026 expirations, we signed two leases during the quarter, including our 650,000-square-foot facility in Cleveland and 769,000-square-foot facility in St. Louis. Both were subject to fixed rate renewals with 2.5% and 1.5% annual escalators, respectively. The extension of these leases is positive for occupancy and uninterrupted cash flow, particularly given the absence of leasing concessions. Additionally, we renewed our 194,000-square-foot facility in Cincinnati and a 70,000-square-foot facility in the Greenville–Spartanburg market, generating cash rent spreads of approximately 15% to 7%, respectively. For 2026, we have two known move-outs, including 121,000 square feet at our multi-tenant facility in Greenville–Spartanburg that expired at the January and a 230,000-square-foot facility in Tampa scheduled to expire this month. The Tampa facility is in an infill location within the sought-after Sable Business Park. There are no other properties of this size available in the market currently. Given the older vintage of the facility, we will be undertaking some renovations, including the addition of rail capabilities, which we expect to result in a rent increase of 10% to 20% over the existing rent. We have assumed in our same-store growth guidance that this property remains vacant for 2026. Our 600,000 square feet of redevelopment projects in Orlando and Richmond are progressing well. Completion of the Richmond project is expected in the second quarter, while Orlando is now slated for the third quarter. Both properties are anticipated to produce yields on cost in the low teens. Our balance sheet is in terrific shape, with net debt to adjusted EBITDA at 4.9 times at year end. Reflecting this strength, S&P Global Ratings revised LXP Industrial Trust’s outlook to positive in the fourth quarter. Over the course of the year, we repaid approximately $220,000,000 of debt, which included $140,000,000 of our 6.75% senior notes due 2028 pursuant to a cash tender offer in the fourth quarter. Subsequent to quarter end, we recast our $600,000,000 revolving credit facility and $250,000,000 term loan, extending the initial maturities to January 2030 and January 2029, respectively. The new debt facilities extend our debt maturity profile and reduce interest costs, further advancing the progress we made on the balance sheet in 2025. With that, I will turn the call back over to Will.
T. Wilson Eglin: Thanks, Nathan. In closing, we are pleased with the success we had in 2025 and are focused on building on our momentum in 2026. While it has been several years since we have seen attractive development opportunities that make sense for LXP Industrial Trust, we are excited to capitalize on improving market dynamics by pursuing disciplined external growth opportunities. At the same time, we remain focused on leasing and producing favorable mark-to-market outcomes that drive enhanced value for shareholders. With that, I will turn the call back over to the operator.
Operator: At this time, I would like to remind everyone, in order to ask a question, press star then the number one on your telephone keypad.
T. Wilson Eglin: Your first question—
Operator: —comes from the line of Jim Kummert with Evercore ISI. Please go ahead.
T. Wilson Eglin: Hi. Good morning. Thank you. Real interesting on your planned development here in Phoenix, Dreams and Olive. I am just curious, obviously it sounds like the market has definitely improved. Do you have sort of a quiet list of prospects that you are talking to already? I mean, this is a big project. It is a large project. You have not done—you know, the supply–demand equation there is really favorable for us, as is the lower construction cost. So it would not be surprising to me if there was interest in the facility before it is finished. And there are prospects hunting for that size space now, and there really are not any choices. So we think it is an extremely good setup for us and almost the best one that I have seen, candidly. Interesting. And you are using about 65 acres if I interpret your presentation materials. So you just kind of left it—
Brendan Mullinix: Net 240, so there could be more in the future?
Nathan Brunner: Of development. Yes. Yes. Thank you.
Operator: Your next question—
Nathan Brunner: —comes from the line of—
Operator: —Todd Thomas with KeyBanc Capital Markets. Please go ahead.
T. Wilson Eglin: Hi. Thanks. Good morning. Maybe for Nathan, I just wanted to ask about the full-year same-store NOI growth that—
Todd Thomas: —2.9%—you know, was unchanged in the quarter. For the full year, though, it came in a touch below your prior forecast, 3% to 3.5%, which was revised lower last quarter from 3% to 4%. I am just curious, in terms of the trends later in the year, what drove that miss versus your budget, if you could talk about that a little bit?
Nathan Brunner: Yeah. Thanks, Todd. So, actually, our year-end same-store occupancy of 97.3% is actually within the range of expectations that the 3% to 3.5% range was set on. The difference between the final result of the 2.9% and the low end of guidance of 3% was about $200,000. That variance was primarily driven by marginally higher property expense leakage across about half a dozen properties. Some of them—two or three of them—are vacant properties where we are carrying the full OpEx burden, and two or three of them are leased properties that have property expense caps in the leases where we had some unbudgeted expenses that ultimately went through the caps.
Todd Thomas: Okay. Helpful. Is that expense leakage— you did not mention that when you talked about the same-store forecast for 2026. Is that expected to continue to weigh on 2026 to some extent? And then you did mention that concessions are acting as a little bit of an offset to the base rent and escalators in 2026. Are concessions a little bit greater than previously anticipated, and can you maybe speak to the environment for concessions more broadly?
Nathan Brunner: Sure. I will take the first piece, and I will hand it to James to talk about concessions and the environment. On the first piece, we certainly updated our budgeting for the property expenses that we experienced in Q4 and reflected that in the forecast of the guidance we put out this morning.
T. Wilson Eglin: So on the concession piece, I would just say that the market is changing pretty rapidly. And if you look at what happened in anything that was done in kind of the first half of last year and early into the third quarter, there are some pretty high-level concessions just because—
Nathan Brunner: —the supply–demand outlook was a little bit softer than it is now.
James Dudley: Over the last six months, we have had a massive amount of space get taken down. We have had vacancy rates in most of our markets start to either flatten and in many cases start to decline. So I do think the concessions will continue to be a part of the story, but I do think we are in an environment where some of the concessions that were given twelve months ago will start to recede and soften a bit, and we will get into a situation that is a little bit more landlord favorable.
Todd Thomas: Okay. That is helpful. And then I just lastly wanted to ask about transaction activity and capital allocation a little bit. It sounds like acquisitions going forward will be driven by dispositions. And I just wanted to get your thoughts on what that might look like and the potential to exit more non-target markets in 2026, and maybe you can sort of speak to how that activity might stack up versus additional stock buybacks?
T. Wilson Eglin: Sure. Well, as you can see, we have been methodically working our way through that portfolio of assets outside of our 12 target markets and taking our time and being sure that we are maximizing value and managing those proceeds to enhance shareholder value. So often, there is an asset management project involved as a gating item before maximizing value. And I would say there are a couple of $100,000,000 assets in that portfolio where there are negotiations underway that could lead to a very good outcome. So none of that is in our guidance, but it could create some great outcomes that would give us some capital to redeploy as the year progresses.
James Dudley: We have to be careful about—
T. Wilson Eglin: —managing tax gain as we do that. Yeah. But we are in a good position of liquidity to begin with. So, you know, buyback has been appealing after we addressed the need to bring our leverage down. But in terms of new development, we think the shareholder value is more interesting from that perspective than buyback at this moment, but there has been room for some buyback activity.
Nathan Brunner: Okay.
Todd Thomas: Thank you.
Operator: Your next question comes from the line of Vince Tibone with Green Street. Please go ahead.
T. Wilson Eglin: Hi. Good morning. I wanted to—
James Dudley: —follow up a bit more on the cash same-store NOI guide. I believe you said, Nathan, it is going to be about 3.25% contribution from both contractual bumps and spreads. And I believe contractual bumps are just south of 3%, so it does not seem like spreads are going to be much of a contributor. So maybe you can just talk about—you know, I am guessing fixed rate renewals are going to drag that figure down, excited from, you know, like 28% spreads on, you know, 2026 rollovers you already mentioned. But how can we think about spreads with the fixed rate renewals or contribution to spreads in 2026? Because it seems to be pretty minimal given the data point I just cited.
Nathan Brunner: Yeah, Vince, I will go first and just—I was trying to clarify the 3.25%, and then I will hand it to James to talk about the 2026 spreads. But the 3.25% positive contribution is contractual rent escalators, which you are right are about 2.8% on average across the portfolio—
James Dudley: —and the second component is just the renewal rent spreads. So that is the positive contribution. And then—
Nathan Brunner: —the 1.25% we talked about in prepared remarks reflects the low—offset by the drag from vacancy. So it actually captures some of the rent spread activity around new leases. So it is a little bit of a bucketing as to whether it goes in the first category or the second category, but that first category is just the renewals. And then, James, do you know the 2026—
James Dudley: Yeah. I can. So, yeah, we had two really large fixed rate renewal options that did go, which put a pretty good drag on it. So we have got the, you know, 28% cash 2025, which included quite a bit of the 2026 that was done. And if you kind of put those back in, it is about a 14.5% mark to market. So that kind of shows you the delta between the two when you include the fixed rate renewal options. The good news is we are pretty much through those at this point for 2026. We have two small ones at the end of the year we expect to renew, but we have gotten past those now. So, hopefully, we will start to see some higher mark-to-market numbers, holding with more ability to fully mark those rents to market.
James Dudley: No. That is really helpful color. And then just curious how you thought about the average—
Brendan Mullinix: —occupancy guide in terms of retention you are assuming for some of the larger expirations in the back half of the year? But also, just if you could touch on some of the activity on some of the vacancies that you have had for a bit longer that I think, you know, when we spoke in NAREIT, you were having some activity on. So just curious kind of how you are budgeting those, and if you just talk broadly or quickly on some of the activity, some of the existing vacancy in the portfolio.
James Dudley: Sure. For retention, we are feeling pretty good about it at this point. We have already chopped a lot of that wood and gotten through the big potential vacancies with renewals. I mean, two of them were the fixed rate renewal options that I just mentioned. So we feel pretty good about our retention numbers for the balance of 2026. And then looking to 2027, we feel like we are going to have a nice retention there as well. We have got a number of big leases rolling, but we feel like we will retain those tenants and should be back to more of a typical LXP clip at that high retention rate, with 2025 kind of being an anomaly. On the vacancy side, we continue to have activity across our vacancies. It is just—it continues to be a real challenge to get deals done. Lots of RFP traffic, lots of tenant tours, lots of interest, and it is really just getting them across the finish line. I think that we will make some good progress this year on the vacancy that we have. And as a reminder, there is a really good opportunity there to mark those rents up in the mid-30s if we can get those deals done.
Brendan Mullinix: Great. Thank you.
James Dudley: Thanks, Vince.
Operator: Your next question comes from the line of Nikita Bailey with JPMorgan. Please go ahead.
Nathan Brunner: Hey. Good morning, guys. Any comments—I know you just did a bigger spec development, but anything on the build-to-suit front? Some of the companies in the net lease space seemingly, they are increasingly getting to the industrial BTS deals. Does that pose more competition for you guys down the line? And I do not know if that is something that you would consider, given this large expected spec that you have going on right now.
T. Wilson Eglin: Yeah. Sure. Why do I not take that? This is Brendan.
Brendan Mullinix: Yeah. I think the build-to-suit space remains interesting to us, and the supply dynamic is making it look more encouraging, particularly in our land bank. So—
James Dudley: —you know, there may be more competition from some of those other players. But since we do have a land bank—
Brendan Mullinix: —that puts us in a more favorable position than many of those guys looking to finance build-to-suit. So the dynamic you see is, as supply comes out of the market of existing spec-built space, we remove that competition. So we have been pretty actively responding to build-to-suit over the last couple of years, in fact, in our land bank. But in many cases, some of those deals did not make, but the ones that did proceed, we were competing against existing supply. That factor I think is encouraging for us, and we have been responding. And, in particular, in Columbus, which has tightened significantly, and in Phoenix, we have been responding to build-to-suit inquiries as well. So we will look at—
James Dudley: —both as those fundamentals—
Brendan Mullinix: —have improved. We will consider spec, but we absolutely will continue responding to build-to-suit.
Nathan Brunner: Was it an option to do a build-to-suit maybe for the site in Phoenix and maybe wait a little bit longer? I mean, was there any urgency to do a spec deal versus doing a build-to-suit maybe at some point down the line if you were able to get someone locked up?
Brendan Mullinix: Well, as we looked at it, the supply dynamics—the lack of competing supply—made that very compelling. And then the other piece of it is that we are strategically taking advantage of what I think will probably turn out to be—
James Dudley: —a particularly attractive construction—
Brendan Mullinix: —pricing window here before competing supply starts starting. So it is really twofold. It is not just supply–demand, but it is also very tied to construction pricing. And the combination of that was very compelling for us to start on a spec basis.
James Dudley: Like Will said, I would not be surprised if we could—
Brendan Mullinix: —potentially have an early conversion, and maybe it turns into sort of a spec-to-suit.
Nathan Brunner: But—
James Dudley: —both options continue to look good there, and we will continue to respond to build-to-suit—
Nathan Brunner: —at that site.
Brendan Mullinix: And to get back to Jim’s comment on this initial site earlier, actually, this is going to be approximately 75 acres. We have planned a little over 5,000,000 square feet at our site in Phoenix. So there is a lot of runway beyond the building that we are starting.
Nathan Brunner: Got it. Can I ask a more modeling question? What is your bad debt assumption for 2026 that you guys have in guidance, and how does that compare to 2025?
Nathan Brunner: Nikita, we continue to have a very good track record on credit loss. We did not have any credit loss in 2025. In the guidance, we included $500,000 in the low end only. We looked at some distress that is happening in certain sectors and, as a matter of prudence and of bringing ourselves in line with some of the peers, we just have to bake a little bit of credit loss in the low end of it.
Todd Thomas: Alright. Thanks, guys.
Operator: Again, if you would like to ask a question, press star then the number one on your telephone keypad. I will now turn the call back over to T. Wilson Eglin for closing remarks.
T. Wilson Eglin: We appreciate everyone joining our call this morning, and we look forward to updating you on our progress over the balance of the year. Thanks again for joining us today.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.